Operator: Good morning, and welcome to the Acuity Brands 2013 Fourth Quarter Financial Conference Call. [Operator Instructions] Today's conference is being recorded. If you have any objections, you may disconnect at this time. Now I would like to introduce Mr. Dan Smith, Senior Vice President, Treasurer and Secretary. Sir, you may begin.
C. Dan Smith: Thank you, and good morning. With me today to discuss our fiscal 2013 fourth quarter and full year results are Vern Nagel, our Chairman, President and Chief Executive Officer; and Ricky Reece, our Executive Vice President and Chief Financial Officer. We are webcasting today's conference call at www.acuitybrands.com. I would like to remind everyone that during this call, we may make projections or forward-looking statements regarding future events or future financial performance of the company. Such statements involve risks and uncertainties such that actual results may differ materially. Please refer to our most recent 10-K and 10-Q SEC filings and today's press release, which identify important factors that could cause actual results to differ materially from those contained in our projections or forward-looking statements. Now let me turn this call over to Vern.
Vernon J. Nagel: Thank you, Dan. Good morning, everyone. Ricky and I would like to make a few comments, and then we will be happy to answer your questions. First, let me say we are very pleased with our performance in 2013, particularly, the fourth quarter, where we achieved record results for net sales and diluted earnings per share. In the fourth quarter, net sales grew 13%, which was meaningfully higher than the estimated mid-single-digit growth rates for the key markets we serve. In fact, this was the second quarter in a row, where we achieved double-digit volume growth, a meaningful accomplishment in this environment. We believe this is, yet again, strong evidence our strategies to provide our customers with differentiated value propositions and diversify the end markets we serve are succeeding, allowing us to extend our leadership position in North America. These strategies include the continued aggressive introduction of innovative energy-efficient lighting solutions, expansion in key channels and geographies and improvements in customer service and company-wide productivity. Our profitability and cash flow for the quarter and the full year were again strong, even as we continue to fund our strong sales growth in areas with significant future growth potential, including the expansion of our solid-state luminaire and Lighting Controls portfolio. I know many of you have already seen our results, and Ricky will provide more detail later in the call, but I would like to make a few comments on the key highlights. First, for the quarter. Net sales for the quarter were a quarterly record of $580 million, an increase of 13% compared with the year-ago period. Reported operating profit was $78.2 million compared with $61.2 million in the year-ago period. This quarter, we incurred a small special charge associated with carryover streamlining actions. In the year-ago period, we incurred a special charge for streamlining actions and related expenses, which in total, reduced operating profit by $6.5 million. Ricky will talk more about these special charges and related items later in the call. I find it helpful to add back these items to make both quarter's results comparable. Doing so, one can see adjusted operating profit for the quarter was $78.5 million compared with $67.7 million in the year-ago period, up 16%, while adjusted operating profit margin improved 30 basis points to a strong 13.5% Diluted earnings per share were a record $1.03 compared with adjusted diluted EPS of $0.88 in the year-ago period, up 17%. Strong results indeed. For the full year, net sales at Acuity were a record $2.1 billion, up 8% from 2012. Adjusted consolidated operating profit margin was 11.8%, up 10 basis points compared with the year-ago period. Adjusted diluted EPS was $3.31 per share, up 10% from 2012. In addition, we generated $132 million in net cash provided by operating activities, while funding a $55 million increase in accounts receivable due to our record sales growth. As Ricky will discuss later, we meaningfully enhanced our already strong financial position in 2013, as we now have more cash than debt. Lastly, I'm pleased to report that we once again earned much more than our cost of capital, and our cash flow return on investment was a robust 24%, in spite of these challenging economic conditions. These results for the quarter and full year were significant improvements over the year-ago periods, especially for the quarter. We believe you will find our results for the quarter even more impressive upon further analysis. While net sales grew 13% compared with the year ago, we estimate sales volume grew by more than 14%, partially offset by lower price mix. While it is not possible to precisely determine the separate impact of price and mix changes, we believe the difference was primarily due to changes in the channel mix, as well as mix of products sold and to a lesser degree, lower pricing on like-kind LED luminaires between periods, reflecting the decline in certain LED component costs. The impact of acquisition and some foreign currency in net sales were not significant. The increase in net sales was broad based along most product lines, though certain specialty fixtures more closely associated with new construction again lagged the overall average due to the tepid environment for new nonresidential construction. We also experienced lower sales in Europe. From a channel perspective, we continue to experience strong growth in commercial, industrial, infrastructure and home improvement, as well as continued growth for larger renovation projects. The mix of products sold on these larger renovation projects tend to have a lower gross profit margin profile than our overall average margin. We also continue to experience a higher mix of sales of less featured value-oriented products sold through certain channels, particularly, home improvement, which also tend to have a lower-than-average margin profile. In spite of strong top line growth, the change in both product and sales channel mix, as previously noted, were the primary contributors to a slightly lower adjusted gross profit margin this quarter compared with the year ago. Sales growth in our largest channel, commercial and industrial, was above this quarter's overall percentage increase, primarily due to a continued focus on smaller medium-sized projects for both new construction and renovation, as well as a continued emphasis on selling higher value-added lighting solutions, especially LED luminaires. Sales of these products again more than doubled compared with the year ago period. In fact, this is at least our 10th quarter in a row, where we have more than doubled the sales of our LED luminaires compared with the year-ago periods, far outpacing the growth rates of our largest competitors for these types of products. Additionally, we continue to enjoy strong growth in our residential products, as demand for new housing and renovation of existing homes continued to rebound. We continue to experience growth in all major geographies and key channels in North America, all of which is encouraging, though this was partially offset by continued weakness in Europe. Excluding LED luminaires, we believe the puts and takes for product pricing, as well as material and component costs were again fairly benign this quarter. Looking at overall market condition for the fourth quarter, we believe spending in key segments of the U.S. nonresidential construction market was down slightly compared with the year ago, while residential construction was up more than 20%. Further, we believe the overall lighting market was up mid-single digits during the quarter, supported by growth in renovation, as well as the residential market. This is in stark contrast compared with the growth in our net sales in North America, which was up more than 15%. Lastly, we believe our channel and product diversification, as well as our strategies to better serve customers with new, more innovative lighting solutions and the strength of our many sales forces have allowed us to achieve meaningful sales growth again this quarter. Before I turn the call over to Ricky, I would like to comment on our profitability for the quarter and strategic accomplishments for the year. As we noted earlier, adjusted operating profit was $78.5 million, the most in our history. And adjusted operating profit margin for the fourth quarter was a strong 13.5%. Adjusted gross profit margin was 90 basis points lower this quarter compared with the year-ago period, as the benefits of lower material costs and productivity gains were more than offset by changes in channel and product mix, particularly, in the home improvement channel. Next, total selling, distribution and administrative expenses were up approximately 8% on a net sales increase of 13%. SD&A expenses, as a percentage of net sales, were 27.4% in the quarter, a decline of 120 basis points from the year-ago period, reflecting the leverage of higher net sales. The increase in SD&A expenses was due primarily to higher variable costs to support the record net sales and to fund activities focused on longer-term growth opportunities, including the addition of eldoLED, more robust marketing and sales support capabilities and investing in innovation and technology, primarily, for solid-state luminaires and integrated intelligent lighting systems. Investments in these areas are paying off, as our new product and solutions gain traction in the marketplace, driving revenue growth. We all tend to compare a quarter's results to the prior year. Interestingly, if one were to compare our adjusted results for this fourth quarter to the results for the third quarter of 2013, where product and channel mix were similar, you would see that on a sequential basis, net sales were up 7.1%, adjusted operating profit was up almost 19%, and adjusted operating profit margin increased 130 basis points, while our variable contribution in those incremental sales was 32%, a very strong performance indeed. On the strategic front, we accomplished a great deal in 2013, setting the stage for what we believe will be even greater growth and profitability in 2014 and beyond. We continued our rapid pace of new product introductions, significantly expanding our industry-leading portfolio of innovative, energy-efficient luminaires and lighting controls solutions. To put this in perspective, we now offer customers more than 1.7 million SKUs to choose from, more than twice as many as we did in 2008. No one offers customers more choices and more solutions than Acuity Brands. Much of this growth in our portfolio has been driven by the expansion of our lighting controls and solid-state lighting product offering. For the full year, our LED sales more than doubled compared with 2012. Also, we continue to fund the development of holistic, integrated lighting solutions for specific applications, such as schools, health care facilities, commercial office building and various outdoor applications to fully leverage our award-winning portfolio of lighting fixtures, controls and components. Additionally, we continue the development of luminaires, incorporating other light sources or other light technology, such as organic LEDs, where we continue to expand our award-winning portfolio of those innovative products. More impressively, our adjusted operating profit margin continued to expand this quarter, while sales of LED-based solutions have become a larger portion of our overall business. Acuity is a clear leader in both conventional and digital lighting solutions. It is because we understand the sophisticated needs of our expansive customer base that we offer each tailored solutions from our industry-leading portfolio regardless of the light source. Our expertise lies in the true understanding of the proper use and control of light while optimizing the use of energy. We are without equal in the design and development of fixtures and integrated lighting systems for virtually any application without a bias of the light source. This expertise, coupled with a fully integrated lean supply chain, can produce virtually any type of fixture or lighting control system cost effectively and efficiently for our customers, because we are without the cumbersome and expensive investment in legacy costs needed to produce certain components, like lamps or LED chips. We source these components to our design specification from the best suppliers around the globe. This structure allows us to bring customers with superior value, while delivering upper quartile returns for our shareholders. Our formidable strength in innovation was on full display again in 2013, where Acuity won numerous industry awards for indoor and outdoor LED lighting and control solutions. And we continue to add even more capabilities, including the acquisitions of Adura and eldoLED. eldoLED is a leader in the design and manufacture of high-performance intelligent drivers for LED-based lighting systems. The acquisition of eldoLED gives us and our OEM customers unique capabilities to provide unparalleled lighting solutions to the ultimate end user, including color changing, tunable light and complete dimming solutions, which eliminate the stroboscopic effects that are prevalent with many of the LED fixtures in the industry today. As I have noted before, our organization has a long and distinguished history of leading and innovating during years of technology disruption. And that is even more true today. Acuity Brands is leading the evolution to intelligent lighting solutions, with its broad and deep portfolio of indoor and outdoor solid-state and traditional energy-efficient luminaires and lighting controls. And we are delivering profitable growth and strong financial returns for our shareholders, while making these important investments. These accomplishments have diversified and strengthened our foundation and will further serve as a robust platform for our future growth that is less realigned on the new commercial construction cycle. We've been able to produce these results because of the dedication and resolve of our 6,500 associates and the progress they have made in 4 key areas of strategic focus: customer service; pricing and margin management; geographical channel and product portfolio expansion, including significant additions to our industry-leading stable of sustainable and energy-efficient lighting solutions; and, of course, company-wide productivity. I will talk more about our future growth strategies and our expectations for the construction market later in the call. I would like to now turn the call over to Ricky before I make a few comments regarding our focus for 2014. Ricky?
Richard K. Reece: Thank you, Vern, and good morning, everyone. I will highlight a few items regarding our income statement. I then will discuss our cash flow and financial condition before turning the call back to Vern. Vern covered the primary drivers for our sales growth and our profitability, so I'll not repeat these items, but I will provide a bit more color on certain aspects of our fourth quarter results. Let's first look at our special charge related to streamlining activities. Fiscal 2013 fourth quarter results include a $0.3 million pretax special charge associated with the streamlining activities announced in the prior quarter to streamline the organization through the planned closure of 2 small production facilities, as well as the realignment of responsibilities, primarily, within various selling, distribution and administrative departments. We recognized last quarter a pretax special charge related to these streamlining actions, totaling $7.2 million. The total pretax special charge consists almost entirely of severance and employee-related costs. The production facilities we are closing, manufacturing -- manufacture less than 2% of our total production, and we expect to complete the closures and related transfer of production by the end of the calendar year. We currently expect to incur production transfer expenses and other costs of approximately $2 million over the next 2 fiscal quarters related to this streamlining action. We estimate the total annualized pretax savings associated with this streamlining action to be approximately $15 million, of which, approximately $2 million was realized in our fourth fiscal quarter of fiscal 2013. We currently expect to be at the full annualized run rate by the end of the calendar year, assuming the production transfers occur according to our current plans. These savings should help offset important investments we are continuing to make to expand our product and solution portfolio and enhance our production, distribution and customer service and support capabilities. Included in the prior year's fourth fiscal quarter results was a pretax special charge and expense associated with streamlining actions, totaling $6.5 million or $0.10 per diluted share. As Vern said earlier, we find it useful to adjust our results for these items to make them more comparable, and we have included in our earnings release a full reconciliation of our GAAP amounts to these adjusted results. As Vern mentioned earlier, our adjusted gross profit margin for our fourth fiscal quarter of 40.9% decreased 90 basis points compared with the year-ago period on an almost 13% increase in net sales, due largely to an unfavorable price mix, partially offset by the favorable impact of increased net sales and lower material and component costs. Our adjusted operating profit margin increased 30 basis points to 13.5% compared with the adjusted operating margin in the year-ago period, as we were able to offset the unfavorable gross margin percentage comparison. Our SD&A expense, as a percentage of net sales, declined to 27.4%, or 120 basis points below the same period last year, demonstrating we are seeing the benefits from the investments we have made in our business and the streamlining of our organization. Let's next turn our attention to some of our results below the operating earnings line. We had essentially no net miscellaneous income in the fourth quarter of fiscal 2013 compared with miscellaneous expense in the prior year of $2.8 million. The miscellaneous expense recognized in the fourth quarter of last year was due primarily to the impact of changes in foreign currency exchange rates, primarily Mexico peso-denominated items. The effective tax rate for the fourth quarter was 36.1% compared with 34.4% in the fourth quarter of last year. This higher effective tax rate was due primarily to the impact of the United Kingdom, reducing its corporate tax rate by 3 percentage points, which should benefit us going forward, but required a current period reduction in the U.K. deferred tax assets. This one-time adjustment to the deferred tax asset due to the tax rate change negatively impacted diluted EPS by over $0.01 for the fourth quarter of fiscal year 2013. We estimate the effective tax rate for our fiscal year 2014 will be approximately 35.5% before any discrete items and if the rates in our taxing jurisdictions remain generally consistent throughout the year. Now let's look at cash flow for the fiscal year ended August 31, 2013. Cash flow generated from operations for fiscal year 2013 was $132.3 million compared with $172.2 million in the prior year. A decrease in cash flow from operating activities during fiscal year 2013 compared with the prior year was due primarily to an increase in operating working capital to support greater sales. Total operating working capital of 38 days at August 31, 2013, was up 3 days compared with the prior year. In fiscal year 2013, we spent $40.6 million on capital expenditures compared with only $31.4 million in the prior year period, or an increase of $9.2 million. This increase in expenditures is largely related with the capital associated with adding additional capacity in the plants, receiving the production transfer from the Cochran facility, expansion of manufacturing capability in certain other locations and tooling associated with the large number of new products. We currently expect to spend approximately $50 million in capital expenditures in the fiscal year 2014. At August 31, 2013, we had a cash balance of almost $360 million and total debt of $354 million. Consequently, at the end of fiscal 2013, our cash exceeded debt, so we had no net debt. In addition, at August 31, 2013, we had additional borrowing capacity of $244.3 million under our credit facility that does not mature until January 2017. So we continue to maintain a significant amount of financial flexibility. Thank you. And I'll now turn the call back to Vern.
Vernon J. Nagel: Thank you, Ricky. As we look forward, we continue to see significant long-term growth opportunities. While we don't give earnings guidance, I would like to add a few observations regarding our expectations for 2014. First, as we have noted before, we anticipate that businesses and consumers in North America will accelerate their spending as the economy continues to improve, although we still expect the economic environment to continue to be challenging due to a slower-than-normal recovery. Forecast for industry growth rates by independent organizations continue to vary widely. The consensus estimate is the broad lighting market in North America will grow in the mid-single-digit range for our entire fiscal 2014. This is modestly better than the economic conditions we experienced in 2013 and certainly better than the expectations for the overall growth of the nonresidential construction market. Additionally, we expect the European economies to remain weak, particularly Spain. Also, there are other signs that continue to give us optimism regarding the future growth of our business. Leading indicators in the North American market, such as the Architectural Billings Index, vacancy rates, office absorption, lending availability and the rebound in residential construction continue to be favorable. As you know, there is a lag in the new construction cycle between the design phase of projects and the ultimate purchase of lighting fixtures and controls. All this may be somewhat tampered by the next round of uncertainty to come out of Washington regarding the U.S. budget and debt limit discussions. Therefore, our overall expectation for our fiscal 2014 is that demand in our end markets will continue to improve and be more consistent and broad based, but with some volatility in demand among certain sales channels and geographies. The favorable trend in our September order rates seems to support this level of improvement. Second, the industry continues to experience some volatility with respect to input costs. While some commodity costs have waned, others continue to rise. As of now, we expect material input cost to be relatively flat for the balance of calendar 2013, except for certain LED components, which should continue to decline. Further, we expect employee-related costs will continue to rise due to wage inflation and the negative impact of Obamacare on health care cost. Of course, we will continue to be vigilant in our pricing posture, as well as furthering efforts to drive productivity improvements to help offset rising costs, as evidenced by the expected benefits in fiscal year 2014 from streamlining actions we took in the second half of fiscal 2013. Next, while our gross profit margin is influenced by sales volume, as well as product and channel mix, we expect our gross profit margin to improve over time, as volumes grow, particularly, for larger new construction projects, which should also benefit our mix, as we continue to realize typical gains in manufacturing efficiencies. Additionally, we continue to experience some isolated pricing pressures in certain markets and channels, such as home improvement. As we have said before, we will defend our market position vigorously from competitors should they attempt to use price as their only point of differentiation. Lastly, we expect to continue to outperform the markets we serve. Looking more specifically at our company, we are very excited by the many opportunities to enhance our already strong platform. As I noted in our last several conference calls, our strategy is to drive profitable growth remain essentially the same. We continue to see opportunities in this environment, including benefits from growing portions of the market, further expansion in underpenetrated geographies and channels and growth from the introduction of new lighting solutions. Our strong results reflect the solid execution of these strategies by our associates. As the industry leader in North America, we believe we are uniquely positioned with key suppliers around the globe to continue to bring greater and more differentiated value to our customers, incorporating advanced technologies, providing superior lighting quality and more sustainable energy solutions. Our product and solutions portfolio has continued to expand rapidly due to our extensive internal development capabilities, supported by a focused acquisition strategy. Our company-wide strategy is straightforward, expand and leverage our industry-leading product and solutions portfolio, coupled with our extensive market presence and our considerable financial strength to capitalize on market growth opportunities that will provide our customers with unmatched value and our shareholders with superior returns. This all takes focus and resources. We are funding these activities today, because we see great future opportunity. Through these investments, we have significantly expanded our addressable market, and our sales growth reflects what we believe are the early stages of this opportunity. As I've said before, we believe the lighting and lighting-related industry will experience significant growth over the next decade, particularly, as energy and environmental concerns come to the forefront. We continue to believe the many markets we serve as part of the broader lighting industry could grow by more than 50% over the next few years, providing us with significant growth potential. As the market leader, we are positioned well to fully participate in this exciting industry. Thank you. And with that, we will entertain any questions that you have.
Operator: [Operator Instructions] The first question comes from Brian Lee.
Brian K. Lee - Goldman Sachs Group Inc., Research Division: First off, I guess, you've given us the percent of sales from LED in past quarters. Is it fair to assume that LED was about 21% of sales this quarter, given the commentary around doubling year-over-year?
Vernon J. Nagel: The answer is that we have given that, and we continue to double. And so, given the rate of growth that we have, we thought it was becoming less significant as the percentage of the total. The number is actually higher than that. But again, we are very focused on selling our complete portfolio to folks and growing those -- that aspect of the business, where customers want to take us. And, certainly, LED solutions continue to be a meaningful part of our business and a meaningful part of our future. We were growing at extremely fast rates compared to the industry, particularly, for folks of our size.
Brian K. Lee - Goldman Sachs Group Inc., Research Division: Okay, that's helpful. I guess, on that same note. You guys do appear to be well outgrowing peers in the industry overall in that particular technology category. Can you speak to what some of the specific drivers, in your view are of the outperformance and growth? And I guess, is there meaningful share gains that are a big part of that, that you're seeing in net debt competitions?
Vernon J. Nagel: We believe we are gaining share in key segments of the market that we serve. I believe our growth is driven around a couple of things. One, we're a true lighting experts. We understand the needs of our very diverse customer base, which is the most diverse in the industry. And we're able to bring tailored lighting solutions to their needs on a good-better-best value proposition. Our sales forces, we sell through 14 different sales forces. They're virtually #1 in all of their markets. So we're leveraging our customer access. We're leveraging the growth in our product portfolio. We're leveraging our supply chain capabilities and our service capabilities to win in the marketplace. I don't think that the market is overly robust, mid-single-digit growth for the lighting industry, driven by new construction, as well as and, primarily, by renovation. I just think that we are uniquely positioned with the investments that we've made over the last handful of years to really capture market share growth, while participating in any growth that the market makes available.
Brian K. Lee - Goldman Sachs Group Inc., Research Division: Okay, great. Last quick one, if I could just squeeze it in. Given the mix of that you are seeing through the month of September, how would you expect the slight negative impact you saw this quarter from pricing and mix trend for the upcoming quarter or the current quarter?
Vernon J. Nagel: So -- thank you. So what we try to do was give a sense of what mix look like and performance this quarter relative to our previous third quarter, so you could see on a sequential basis with like kind mix, how our profitability and our variable contribution margins now starting to flow through. So compared to the third quarter, revenues were up about 7% on a sequential basis. But you saw about 130 basis point improvement in margins on essentially the same mix. And more importantly, the variable contribution on that incremental 7% of revenues was about 32%. So while -- if you were to compare us to 2014, the mix shift in our business did have an impact on gross margins, particularly, as we penetrated the larger renovation-type projects, particularly, as we grow in certain channels like home improvement, it did have some dilutive effect on our gross profit margin. But we continue to take cost out. We continue to drive productivity throughout our business. And we continue to invest in our business. The acquisition of eldoLED, it's a technology-based business. It has small revenues. It has an expense base to it. So it's not making money just yet, but it will. And so these investments for us, I think, are critical to our future growth potential. When you kind of look at an apple to an apple, we actually, in the fourth quarter, had very strong results and consistent, in my view, with what people might expect from us, as we have this level of revenue and this level of growth. And when you compare that back to our last high watermark in 2008, where we had no LED sales, where the market was at its all-time peak, we're not even close to being back to those levels in terms of what the market is making available. The outperformance is now fairly consistent with what we experienced back then, just a slightly different mix.
Operator: The next question comes from Kathryn Thompson of Thompson Research Group.
Kathryn I. Thompson - Thompson Research Group, LLC: I'm going to stick to 2 questions you asked us to ask. First question is, what percentage of sales are retrofits in fiscal '13? And how is this different from 2 to 3 years ago, and expand a little bit on your retrofit strategy going forward?
Vernon J. Nagel: So Kathryn, it's a great question, impossible to precisely answer. But our guesstimate is that probably half of our revenues in fiscal 2013 were some form of renovation, whether there was a specifier involved and they were renovating a school, for example, or whether it was a renovation without specification going through distribution and/or through other channels. I think if you were to compare that back to 2008, I believe that probably 75% of the market was driven by more new construction and that other 25% or so driven by some type of renovation.
Kathryn I. Thompson - Thompson Research Group, LLC: That's helpful. And related -- talking about LED, maybe switching gears, fluorescent is obviously still very important for you. Has there been any change in your market share for the fluorescent market over the past 2, 3 years? And maybe spend a bit more of what is LED adoption replacing in terms of the overall technology.
Vernon J. Nagel: Again, very good question. Fluorescent is very important to the entire industry still. Fluorescent, for many applications, is still a very, very economical alternative to other light sources that are out there. Again, Acuity is agnostic to the light source, but we are maniacally focused on the application and having the right solution for that customer. An interesting little factoid. If you go back to 2008, fluorescent made up 42% of the total light source of the market at that point in time. In 2012, fluorescent made up 43% of the market. Most people would have thought that LED would have displaced that. LED is displacing other lesser efficient sources, such as HID than fluorescent. Our view is, is that over the next 3 years, half of the market could be converted to LED. We're not -- we don't know. But actually, we don't care because we are agnostic to the light source. What we do know is this, by 2015 or any period you want, the market is going to be made up of more than 0% LED and less than 100%. What Acuity is focused on is making sure that we have the complete lighting solution package for that customer. And this is why I pointed out the number of SKUs that we have today, it is proliferated meaningfully because of controls LED and other light source type products, such as OLED. We are very focused on making sure that we can meet the customers' needs irrespective of that light source. And the other thing I would say is Acuity, I believe today, is unmatched in its capability and understanding of light sources as it has been. And this is what you're seeing our outsize growth of our LED portfolio compared to the market. We have great products and we understand the application. In our fluorescent business, I mean, again, we don't look at these as separate businesses. We look at them as, again, total portfolio and solutions. In our factories, we have cells that are right next to each other that one is producing an LED-based luminaire and the other one is a fluorescent luminaire. So again, we don't look at these as separate businesses. We look at it as a holistic portfolio of being offered to the customer base. I hope that's helpful.
Operator: The next question comes from Colin Rusch, Northland Capital Markets.
Colin W. Rusch - Northland Capital Markets, Research Division: Can you talk about the margin benefit as you shift towards new construction from the retrofit, and how big do you think that gross margin benefit could be as we look over the next couple of years?
Vernon J. Nagel: It's a very good question. I think, again, if you go back to 2008, the last high watermark of nonresidential new construction, we like new construction because we're able to offer a very broad mix of product onto that construction site. And we tend to sell a more rich mix of specialty-based products, Lighting Controls, all of these tend to be accretive to the overall margin relative to large projects where there's a single fixture type that's renovation. And so, again, as I mentioned in the last couple of calls, Acuity has really honed its skill and capability at fishing in that renovation pond, which was relatively new for us, if you compare us back to 2008, while expanding if you will, our expertise around new construction types. So we would expect if that new construction market comes back, for it to have a positive contribution to our gross profit mix. And certainly, the volume, you saw this quarter what volume did on our SD&A expenses as a percentage of sales, we were able to, again, drive some nice leverage there as well.
Colin W. Rusch - Northland Capital Markets, Research Division: Okay. And then the dynamics around the ABI, some of the companies that we cover in this universe have pointed to a plus or minus 3 points as kind of living in the noise range. Obviously, we've had over 1 year of positive readings. But can you talk about what you guys see as the noise range on those ABI readings and then any sort of exhilaration that you're seeing in the conversion from design wins into actual orders on projects going forward?
Vernon J. Nagel: Yes. We believe that the ABI is a positive leading indicator. The lag, 6 to 12 months depending on the project. But we look at many other types of economic trends. So delinquency rates on commercial loans have come down dramatically. Tightening standards have, for commercial loans, have eased. The demand is now up. Vacancy rates are starting to show very nice, steady declines. Industrial availability is declining. Absorption of spaces improved meaningfully over the last couple of quarters. And so we've looked at all of that as being a more holistic picture of a more positive environment over the next handful of years. I believe that this recovery for the industry has resulted in a slower-than-normal rebound that one would expect. And I think we're seeing that in the data. But again, we also look at, I think, another broad leading indicator that tries to capture all that. It's the Dodge Momentum Index. And you're starting to see very nice, positive lift there. So for us, lighting is kind of the last stuffing on new construction projects. And our expectation is we get out into the 2014 and '15 time period, you're going to start to see new construction create a positive lift for the industry and, of course, Acuity.
Operator: The next question comes from Josh Baribeau of Canaccord.
Josh Baribeau - Canaccord Genuity, Research Division: This is Josh for Jed. Vern, can you talk a lot about what you're seeing, if you're seeing anything, in terms of disruption or turnover in your agency channel?
Vernon J. Nagel: Acuity has, by far and away, the #1 agency for us in North America. And there's no one that's even close to that. And so, for us, the average tenure of our agency force being associated with Acuity is 27 or 28 years. We've had virtually no turnover. I mean, in the last, certainly, 24 months, I can only think of one agency where they have left us. We've had a few upgrades in the agency network mutually agreed. But for us, the agency turnover is not an issue.
Josh Baribeau - Canaccord Genuity, Research Division: Okay. And what about the competitive environment of your agents per se relative to some of the other agents today? Are they gaining share? Are they maintaining the share? How is that dynamic playing down -- playing out downstream?
Vernon J. Nagel: Yes. I would say that the Acuity agent continues to get stronger. And that's a relative term to the markets they serve. But as you know, that is very, very specific to each geography, each location. Acuity is represented by approximately 90 agents throughout the U.S. and Canada. And so one market to the next, the dynamics there are -- can be very, very different. But overall, I would say that the Acuity agent representing the fulsomeness of the Acuity platform is that they have been gaining share. By definition, they have to be gaining share because we are.
Josh Baribeau - Canaccord Genuity, Research Division: Got you. And just one more, if I may, and I might have missed this. Did you talk about your fixed component in terms of the dollar value of the SD&A this quarter?
Vernon J. Nagel: No, but I can comment on that. Fixed SD&A, for all of those who may recall, we said would kind of be in the range of 92 to 95. It's not precisely fixed. And this quarter, we were at the low end of that range. As we continue to make investments, I would expect that range for us to be kind of at the higher end, particularly as we drive eldoLED and its capabilities into the marketplace, not only for our own internal use, but for OEM customers as well. My guess is that would probably be at the higher end of that range, when we finally look at all of 2014.
Operator: The next question comes from Christopher Glynn with Oppenheimer.
Christopher Glynn - Oppenheimer & Co. Inc., Research Division: I had a question, Vern. You mentioned the 1.7 million SKUs now over double historical. Just wondering if we could explore kind of the implications of that competitively in terms of what your thoughts might be on global scalability versus, clearly, the North American market itself seems to have plenty of opportunity.
Vernon J. Nagel: We are very bullish on the North American market, particularly as we look out, not just over 1 or 2 years, but over the next decade. The North American market, broadly the electrical industry and then more narrowly define the lighting industry, we believe will invest in technology and our capabilities that have paybacks associated with it. Lighting is the low hanging fruit. And the more investments that we make in our portfolio, the more investments that we make in our access to market and the quality of the folks that we have there, it represents, I think, a unique and exciting future for Acuity. So this is why we continue to make these investments. And if you will, retool the organization to be much more focused on integrated holistic lighting solutions for applications, like schools and hospitals and things of this nature, where we can actually sell to the customer a better quality of life and better solution that's paid for through energy savings. So this is why the proliferation of our SKUs, we are very good at managing that process. We have an excellent supply chain capability that allows us to deliver those -- that huge portfolio in a very cost-effective way. So I'm excited about what we're doing here in North America. And I'll turn it over to Ricky to make a comment or 2 on our international.
Richard K. Reece: Yes. And I would expand on, Vern, before I go to international. I think with this broad breadth of SKUs, not only in the luminaire side, but the control sides and some of the components, are enabling us to put together systems that others are having to cobble together from other outside partners instead of having that capability more in-house. And that could have huge implications. Internationally is an area that we do see opportunities. We're being pretty selective. Where we're focusing on that, we obviously have a footprint in Europe, and we're looking to improve our performance there. Obviously, there's been a huge economic crisis throughout much of Europe, particularly Spain, where we have one of our facilities. But we do see opportunities beginning to emerge there, as we build out our product capability and broaden our product portfolio. The other area of focus is in Latin America. Continue to see good growth opportunities there. We're #1 in Mexico in terms of luminaire sales and believe we can leverage some of the capabilities that we have into Latin America. Brazil, being probably the most prominent example, where we're getting some local manufacturing capability with the contract manufacturer to be able to service that region better. Beyond that, we are seeing opportunities to follow some of the global large companies where they go. And they like the opportunity to bring partners with them as they expand around the globe, provided they can service them well, both with the product, as well as the service capabilities. So we're building out that capability, have added resources there to be able to serve some of these large global, industrial, retail, other type of companies as they build out around the world and are looking for partners to follow them.
Christopher Glynn - Oppenheimer & Co. Inc., Research Division: And then just on the acquisition pipeline, wondering if you could comment on how full or active that is and some color on the range of properties and availability.
Vernon J. Nagel: Chris, the pipeline is very full. It's very active. But as you know, deals have to be both doable as well as desirable. And we've focused on those that are very desirable as part of our strategy. But at the end of the day, sometimes doability is -- it needs to be controlled. Sometimes sellers' expectations are beyond what we think is reasonable. And so we're very disciplined about what we will acquire in line, at what price points and it has to be integral to the strategies. So today, we have more cash than debt. It's an enviable situation. But we are -- we continue to look at acquisitions that make sense for us. So obviously, we'd like to put that capital to work in the most shareholder friendly way. We are very focused on delivering solid returns for our shareholders. So we just won't really nearly buy something simply because someone wants to sell something.
Operator: The next question comes from Winnie Clark of UBS.
Winifred Clark - UBS Investment Bank, Research Division: Could you first comment on your outlook for CapEx for the year? I think you mentioned you expect to spend roughly $50 million this year. That's a bit of an increase from 2014, which I've heard -- excuse me, '13, which was elevated by a couple of items, like production line transfers and tooling for new product.
Richard K. Reece: Sure. If you look at the $50 million, we're looking at our 2 percentage of revenue type of range of what we're looking at. We're looking to do a little over $2 million this year in revenue. In the year, we just finished just over $2 billion of revenues. So we're looking in that 1.5% to 2% of revenue. That is at the upper end of that range, may even exceed that range slightly. A big driver of that is as we continue to build out our components' capability and are looking to add to our surface mount capabilities. So we're adding quite a bit of equipment in that range, as well as continuing to build out the new products that Vern was talking about, the tooling and all associated with that. So I would say it's in building out our manufacturing capability and components and then a little higher tuning that may cause us to be at the upper end or potentially above that 2% of revenue, but the 1.5% to 2% is what we kind of target.
Vernon J. Nagel: And Ricky, if I could just comment as well. I want to be very clear. We are investing in new aspects of the business that we typically would not have participated in, say, 2008. We believe that there are opportunities, again, use the eldoLED acquisition, for us to build out a capability and a platform where we are selling integrated holistic lighting systems, where it's plug-and-play. It works together. And so we believe, for us, the ability to control some of the internal components is an opportunity to bring even more value. As Ricky pointed out earlier, folks who don't have this capability have to go out and partner with others, and now you're getting a type of margin stacking, as well as challenges of communicating around this holistic system in a way where we believe some of these investments will give us a unique capability. So what you're seeing at both in 2013, part of the acquisition strategy, and even before. It started when we first acquired Sensor Switch. We're building out that capability, which is unique to Acuity and a huge opportunity on a go-forward basis. You don't have to do that. You could have just continued to be a designer and integrator -- designer of light fixtures and an integrator of component. But we see much, much more interesting capability to tie into building management systems and do all this. That's different than -- slightly different than what we would have done before. Hence, the slightly higher incremental spend on capital. But we believe that the returns will be robust, again, over the next, I'm going to say, decade around these kinds of things.
Winifred Clark - UBS Investment Bank, Research Division: That's very helpful. And to touch a little bit more on the product development side. I mean, clearly, you've been very focused on that and it's been a strong contributor to revenue growth. Can you provide some color on what percentage of sales are driven by new products potentially? And specifically, what level of spending you engage in, in terms of new product development.
Vernon J. Nagel: So last quarter, I gave some flavor around new product development. The GAAP or SEC methodology of capturing R&D. For us, R&D is a very small number. But if you look at the internal capabilities that we have, and we capture this in our SD&A expenses, the amount of investment that we make to create design and create test products for the marketplace, it's a formidable number. I mean, it's a double-digit as a percentage of sale number. So that is the key and core strength of Acuity, that deep knowledge around that. When we look at our product vitality, interestingly, because we are so large and we look at the various channels that we sell through, we're looking more at channel-specific capabilities. So our product vitality can be anywhere from 10% to 30%, depending on the channel and the type of products that we're talking about. It's very exciting. Very exciting.
Operator: The next question comes from Rich Kwas of Wells Fargo.
Richard Michael Kwas - Wells Fargo Securities, LLC, Research Division: I just had 2 questions. With regards to the revenue growth the last couple of quarters, the outperformance has been pretty significant, with the market as a whole being mid-singles. Is this something that you think is sustainable at this point, given the order activity you're seeing and the potential project activity you're seeing? Is there anything -- and I know you don't give formal guidance for '14, but is there any reason to believe, with comparisons getting a little more challenging particularly moving to the second half of next year, that, that should be a cause of concern at least from a growth rate standpoint?
Vernon J. Nagel: So Rich, our view is -- well, like our competitors, we're after every single order. They are as well. We've been able to gain share leverage. Again, product portfolio, access to market, true value, if you will. Our objective is to continue to outperform the markets that we serve. And if we really pay attention to how we differentiate at the customer level, our expectation is that we will deliver on that. And I'm very pleased with the work that we're doing to improve our cost structure. And so I would expect us to continue to see, at the operating profit level, improvements. Volume is important. So one quarter to the next is a little bit difficult to always judge precisely. But when you look at the full year, I would expect us to continue to, again, outperform the markets we serve in terms of top line growth. And we are maniacally focused on delivering that incremental growth in terms of sales, the variable contribution to our bottom line for our shareholders.
Richard Michael Kwas - Wells Fargo Securities, LLC, Research Division: So it sounds like fundamentally, you're not seeing anything that would cause you not to be able to grow in terms of outperforming the market with the level that you have been recently.
Vernon J. Nagel: I'm not going to say that we will always outperform the market as we have recently all the time quarter in and quarter out. Again, we don't give guidance around that. But we put in place what we consider to be a robust strategy that should allow us to outperform the markets and will let that whole notion of outperformance be what it is when we deliver it. It's just -- I'm not going to comment precisely on whether it's going to be this percentage or that percentage. We're focused on delivering performance.
Richard Michael Kwas - Wells Fargo Securities, LLC, Research Division: Okay, that's -- it's fair. And then just on the -- Ricky, on the savings, the $15 million savings, I know a chunk of that is going to be redeployed. Can you give us a sense of actually what's going to drop to the bottom line? If I recall from last quarter, it didn't sound like there was a whole lot that's going to be dropped into the bottom line. Most of that's going to be redeployed. Is that still the right assumption to make as we think about margins in '14?
Richard K. Reece: Again, to echo Vern's comment, we don't give guidance. So I'm not going to be as specific in answering your question. But you're right, we are looking, particularly with wage inflation, the health care increases that are going to consume some of these productivity gains and streamlining savings. We always are looking at ways to offset increases in those types of costs. We are continuing to build out our marketing and sales capability to service these solutions and systems that we are selling. And as Vern has been commenting, we're starting to see real good returns on that from the revenue growth and so forth. So I'm not going to be able to give you a specific example. But you're right. We will be continuing to invest in the business as we have in these growth initiatives and some of the savings from the streamlining, obviously, will help offset those increases.
Vernon J. Nagel: And Ricky, as we pointed out, if you look at the sequential third quarter to fourth quarter, our variable contribution on that sales increase was about 32%. So we'd like to be clear to our shareholder base. We are very focused on driving positive incremental margins on that incremental dollar of sale.
Operator: The next question comes from Peter Lisnic, Robert W. Baird.
Peter Lisnic - Robert W. Baird & Co. Incorporated, Research Division: Vern, I guess, first question. If I look at the price mix impact in the fourth quarter, that headwind decelerated from what we saw in the second and third. So around 300 bps or so, a little bit less, I guess, in the second, third. Now we're, call it 100, 125 basis points. So something -- it looks like it firmed there or mix change. Can you give us a little more color as to why we saw that headwind abate a bit here in the fourth quarter?
Vernon J. Nagel: You did, no issue on that. Again, when I look at price mix, even compared to the third quarter, it was down. Again, I believe that we're seeing now a more consistent play. We're starting to see a little bit more positive mix on the product side. E&I was up compared with the overall average. We did some excellent work on our cost structure within some of our growing channels, like infrastructure. So we saw some favorability there. And my sense is, is that when we start to look at 2014 compared to 2013, the mix change. And again, I want to be, because I don't know exactly what it's going to be. But our expectation is, is that the mix should become more favorable as new construction starts to come about, and then some of the work that we've done on cost savings starts to benefit or come through as a benefit.
Peter Lisnic - Robert W. Baird & Co. Incorporated, Research Division: Okay. And can you draw out any pricing inferences from what you're seeing so far? In other words, does that headwind abatement suggest that maybe a firming demand that the pricing landscape has gotten a little bit more -- strengthened a bit more relative to previous quarters?
Vernon J. Nagel: No. We can't infer that. In fact, we have some channels where pricing continues to be brutal. I mean, to the point where we may actually even say no to some things because we just can't get the cost structure and the investment structure right to give us the kinds of returns that we want. Now I want to be clear about this. We still expect to grow. We still expect to grow in all of our channels. International is still a bit of a challenge. But I don't think you can infer that pricing in the various channels has changed. Our expectation is, is that pricing, on a go-forward basis, really will have more do with the type of project, the breadth of portfolio that you offer into that projects. So we would almost consider that to be a mix issue, not a price issue.
Peter Lisnic - Robert W. Baird & Co. Incorporated, Research Division: Okay. All right, got it. And then, second question I guess just on if you can update, as I may have missed this, but your residential exposure, give us a sense of scale there. And then are there opportunities to make that a more meaningful piece of the portfolio or would it even be something that would be considered a strategic initiative at Acuity?
Vernon J. Nagel: So residential is a strategic initiative in Acuity. Again, we continue to look at potential acquisitions to help facilitate that. But my guess is that, that won't happen. And so our focus is to continue to greenfield and leverage our access to the residential markets through a number of different channels. Our portfolio there continues to grow nicely. Resi, probably a few years ago, resi was 10% of our business. It's very difficult to precisely calculate because, again, we sell products that can be used either in resi or light nonresidential construction. And in those channels, we don't know where it ends up. But if we had to guess, we've improved our resi share by probably a couple of 100 bps. But again, difficult to precisely know. The products that would be resi-oriented, we're seeing very solid growth there, above market growth for residential as a whole. So we believe that, that's an indication of us gaining share because of the product and future differentiation.
Operator: I would like to turn it back over to Mr. Vernon Nagel for closing remarks.
Vernon J. Nagel: Thank you for your time this morning. We strongly believe we are focusing on the right objectives, deploying the proper strategies and driving the organization to succeed in critical areas that will, over the longer term, deliver on the expectations of our key stakeholders. Our future is very bright. Thank you for your support.
Operator: Thank you for participating in today's conference. You may disconnect at this time.